Operator: Hello and welcome to the urban-gro 2021 Second Quarter Earnings Conference Call.  Note that this conference call is being recorded at the company’s request and will be made available on the company’s website following the end of the call. At this time, I’d like to remind our listeners that remarks made during this call will include discussion of non-GAAP metrics including adjusted EBITDA and backlog and may state management’s intentions, beliefs, expectations or future projections. These are forward-looking statements and involve risks and uncertainties. Forward-looking statements on this call are made pursuant to the Safe Harbor provisions of the federal securities laws and are based on urban-gro’s current expectations and actual results could differ materially. As a result, you should not place undue reliance on any forward-looking statements. Some of the factors that could cause actual results to differ materially from these contemplated by such forward-looking statements are discussed in n the periodic reports urban-gro filed with the Securities and Exchange Commission. These documents are available in the Investors section of the company’s website and on the Securities and Exchange Commission’s website. We encourage you to review these documents carefully. I would now like to turn the call over to Bradley Nattrass, Chairman and CEO of urban-gro. Mr. Nattrass, please proceed.
Bradley Nattrass: Thank you, Hilary and good afternoon, everyone. As noted, I am Bradley Nattrass, I am the Co-Founder, Chairman and CEO of urban-gro. Also joining me on the call today is our Chief Financial Officer, Dick Akright, who you will hear from a little bit later. We truly appreciate your continued interest in the company and further the strong turnout for today's call. I'm excited to both update you on our progress to the end of Q2 and further share some insight on our focus for the remainder of the year. As can be viewed in the 10-Q and press release circulated after market closed today, our momentum continues to strengthen. And once again we've delivered record results in Q2. Highlighting these successes, we achieved record revenue of $12.8 million. We achieved record positive adjusted EBITDA of approximately $600,000 and positive net income of $1.3 million. We finished the quarter with a record backlog of $27.9 million, which for urban-gro is signed client contracts on equipment systems with deposits. In turn these contracts will transition into recognize revenue at shipment, which is predominantly over the ensuing two quarters. We maintained a cash position of over $50 million. We successfully announced a very accretive acquisition, initially announced in Q2 we subsequently completed the acquisition of 2WR Partner and their subsidiary MJ12 Design Studio two weeks ago. They are leading 23 persons architect and interior design firm that not only will provide a significant boost of high margin services and revenue, but it presents a phenomenal cross-selling opportunity and allows us to engage new clients approximately three months earlier than we traditionally have been. With this acquisition, we've also added construction management expertise, and have extended our serving - service offering to also include the design of dispensaries, extraction facilities, and processing kitchens. And finally, and most exciting for the first time we're providing the following forward-looking guidance for our shareholders. We anticipate our full year 2021 revenues will be in a range of $54 million to $59 million. And we anticipate our full year 2021 adjusted EBITDA will be in a range of $4 million to $5 million, which represents approximately 7.5% to 8.5% of revenue. Moreover, even at the low end of this range, this is almost a $5 million increase of adjusted EBITDA over full year 2020. And as I like to say, we're just getting started. Today, urban-gro is a fully integrated architectural, engineering and design company that integrates equipment systems into controlled environment ag facilities. Further for operating facilities, we offer a Managed Services Platform, gro-care, that leverages our team's expertise, and provides our clients with the sweetest solution services focused on increasing crop yields, preventing downtime and also driving overall business continuity. We're in our eighth year, we have 80 employees, of which approximately two thirds of what we refer to as experts, a variety of architects, engineers, cultivation designers, and plant scientists and horticulturist who have a strong history of growing multiple crop types. Is these skill sets and the expertise acquired from working on more than 450 controlled environment ag facilities, that sets us apart and provides a competitive advantage in the marketplace. As we move into the second half of 21, we're continuing to execute in opportunities in both cannabis and food focused markets. And after primarily working in the legalized cannabis space since our inception, this acquire a massive knowledge from working with one of the most valuable crops in the world, its given us a great entry point into food. So not only are we continuing to capture more market share in the global cannabis market, but we're also successfully expanding our reach within the food focused vertical farming market as well. Looking forward now and ensuring that we finish this year strong, there are three key growth initiatives that we remain focused on. First, we continue to focus on the continued expansion of our high margin services offerings, both pre and post operation start-up. With the successful acquisition of MJ12, as I mentioned earlier, the start of the call, we've now expanded our existing offerings to include architecture and interior design services. And as a company, we're diligently working to blend our existing engineering and cultivation design services into their 70 open projects, definitely phenomenal, cross-selling opportunity for our team. We continue to focus on building out our managed service offering, grow care as well. We have the expertise that operators and facilities desire to assist them by providing training, support, monitoring, and a variety of programs, including maintenance. Further, we continue to have a robust M&A pipeline, and we continue to examine acquisition and investment opportunities that are profitable, service based, accretive and synergistic to our core offerings. Our second growth initiative revolves around a goal that I set for the company, is to be the leading provider of turnkey, indoor, high-performance cultivation facilities in the global controlled environment ag market. urban-gro defines turnkey as a delivering, a fully operational, customized, high performance facility. And looking forward and the key takeaway here is by utilizing our permit ready construction documents, we're confident that we'll be able to deliver these facilities much more quickly than operators have experienced to date, very, very important in new markets as they open in the United States. Lastly, we're making solid progress with our expansion into the European market, both in cannabis and food. In addition to making significant advances working with our commercial agents that we signed in Q1, we've retained the Vice President of Sales based in the Netherlands, who has a strong horticulture ties, who has strong horticultural ties to the European and Middle Eastern markets. Further later this month, we're opening - we're both opening our European entity in the Netherlands, and we're also exhibiting in a large cannabis tradeshow in Germany. In closing, I'm very proud of the progress that we've made in the first half of the year. And we remain focused on continuing to execute on our strategic initiatives over the next two quarters. With that, I'll turn the presentation over to our CFO, Dick Akright, to present our financial results for the second quarter, and for the first half of 2021. And then after he finishes, we'll move over into the Q&A session. Dick, please take it from here.
Dick Akright: All right. Thanks, Bradley. And good afternoon, everyone. I'm excited to share our financial results with you today. They demonstrate that we are successfully executing our business strategy and clearly reflect that we're continuing to grow in a smart and meaningful way. We entered the year with a lot of momentum from the second half of 2020 and carried that into the first quarter of this year. We were able to continue this momentum and growth in the second quarter of 2021 and are pleased to report the following results. Total Revenue was a record for the fourth quarter in a row. It's important to note that these numbers do not include any revenue from the recent MJ12 acquisition. Our backlog at the end of Q2 2021 was a record $27.9 million, which was an increase from the $15.4 million at the end of first quarter 2021. As Brad indicated, we defined backlog as signed equipment contracts for which we received deposits but have yet to recognize revenue. The product mix of our backlog has an impact on when we will recognize this future revenue. Historically, the majority of our backlog is retired as it ships over the following two quarters. Even with that record backlog in Q2 2021, we generated revenue of $12.8 million as compared to $12 million in Q1 2021. The current quarter revenue more than tripled from revenue of $4 million in Q2 of 2020. The increases in revenues were primarily driven by increases in the shipment of complex environmental and cultivation equipment systems that had been represented in our previously reported quarter and year end backlog numbers. During the second quarter of 2021, we generate a positive income from operations of $222,000, which compares to income from operations of $153,000 for the first quarter of 2021, and losses from operations of $927,000 in Q2 2020. Adjusted EBITDA was also a record of $583,000 versus a loss of $275,000 in the same period last year, or an improvement of $858,000. Adjusted EBITDA was $1.1 million in the first half of 2021, compared to a negative $1.2 million in the first half of 2020, or an improvement of $2.3 million. The second quarter really marks a milestone for urban-gro  as we turn profitable in the quarter. Our net profit in the second quarter of 2021 was $1.3 million, as compared to a net loss of $1.6 million in the second quarter of 2020. During the current quarter, we did benefit from the SBAs PPP loan forgiveness program, recording $1 million in non-operating income from that debt forgiveness. For the first half of 2021, we posted a net loss of $331,000, or $0.03 per common share, compared to a net loss of $3.3 million, or $0.69 per common share in the first half of 2020. Non-operating expenses in the first half of 2021 are primarily related to amounts associated with the paydown in termination of a high interest rate debt facility and interest expense associated with the conversion of bridge financing into common equity. The elimination of these non-operating expenses will positively impact our net income results in future periods. Turning to our balance sheet, I want to point out that cash as of June 30 2021 is over $50 million. And we have no debt outstanding. We intend to grow our existing business in a profitable manner and be able to take advantage of a variety of opportunities that we anticipate will become available to us. The net proceeds from our equity offering in Q1 2021 were $62.1 million. With these funds, we paid off $6 million of debt and repurchased $3 million of common stock, which is available to be used in connection with future acquisitions. And lastly, as Bradley had indicated, we are providing revenue guidance of $54 million to $59 million and adjusted EBITDA guidance of $4 million to $5 million for our full year 2021. We are focused on growing the higher margin components of our revenue mix and expanding our reach through key initiatives. We will continue to focus on reducing operating expenses as a percent - as a percentage of our revenues, as we execute our growth plans. We've come a long way in improving our results. And this quarter is a great example of those efforts. We will continue to be focused and work hard to deliver value to our shareholders in 2021 and beyond. In closing, we are incredibly pleased with these results and our continued momentum. With that, I'll turn the call back to Bradley.
Bradley Nattrass: Thank you, Dick. Hilary, Dick and I are now ready to take questions. Please proceed with the next portion of the call.
Operator: Thank you, Bradley.  Our first question is from Gerry Sweeney of ROTH Capital Partners. Please state your question.
Gerry Sweeney: Hey, good afternoon, Bradley, Dick. Thanks for taking my call.
Bradley Nattrass: Thanks, Gerry.
Gerry Sweeney: Just I wondered if you could - obviously, I'm a little bit newer to the story, but maybe just entertain a couple questions on the backlog side. Obviously, you have a defined backlog with, I guess, a down payment. But if you move beyond that backlog, do you have any sort of internal pipeline metrics that you look at, people you're talking to, get a little bit more visibility beyond maybe the next two quarters that I think represent your - represents your backlog?
Bradley Nattrass: Dick, you want to start on that one, please?
Dick Akright: Sure. Let me start with that. And thanks for your question. The backlog for us is certainly a key component key leading indicator that we track, as you indicated, we don't call anything backlog until we have signed contracts. And there's a positive place for those. So that's the metric that we report. But going to your specific question with regard to kind of beyond that, do we have - do we have an internal funnel, where we are tracking opportunities? We do. But we don't report any of those numbers. We're just - we want to be comfortable that we have the actual signed contract before we put anything out in terms of a press release, or in our quarterly reporting. So yeah, like most companies, we do have a funnel of opportunities that we anticipate, certain percentage will become backlog. But don't report that number outside of internally with the company. But Brad, did you want to add to that?
Bradley Nattrass: Yeah, sure. Gerry, we utilize sales force, across the board, to track everything and all those opportunities and have a variety of different levels. But we just - at this point feel comfortable releasing what is contractually signed.
Gerry Sweeney: That's fair. I thought so - I figured I'd give it a shot. So I do appreciate it. And then stone MJ12. How do we look at that? So architectural services and how - will you be able to give any metrics on that? I don't know if it's projects in the pipeline or things like that. And do they have any numbers in that backlog you provided? Well, haven't you disclosed it, but curious as to how we look at that?
Bradley Nattrass: Sure Dick, do you want to start with the financial side, and then I'll chime in after more about the projects and revenue.
Dick Akright: Yeah, we certainly view the MJ12 acquisition is a fantastic opportunity for us at a very nice price. So I think we've indicated that we anticipate over a 12 month period, you know, $7 million to $9 million of incremental revenue from that acquisition. And then in addition to that, we've talked about the concept of waterfall revenue coming to urban-gro from those opportunities that they have of being at least $10 million for us over that same 12 month period. So the nice part about the acquisition of MJ12 is with them being come - with them being associated with customers kind of sooner than we were as much dark  like up to a three month period, then it gets us into a customer sooner, so we'll have their revenue, but then also the design service revenues that we provide, as well as selling of the equipment systems. So - but just really a great opportunity from our standpoint to enhance our existing business and kind of expand our product and service offerings.
Gerry Sweeney: Got it…
Bradley Nattrass: I'll add on to the back end Gerry a little bit. 70 open projects right now. And you know, so those are our strong qualified leads. We're collectively working closely together to integrate in the service offerings that we currently have and then also equipment solutions as well to build up that, that waterfall in the minimum $10 million that we that we announced. But adding to our service offering and with the dispensaries extraction and processing facilities really plays in nicely to the turnkey offering that we're focused on. It allows us to really now have everything under one roof that a client would need when building a full turnkey facility and to have all of those - those services under one roof as well, just from an a holistic design standpoint having one belief system on how to build out that most efficient high performance facility, it's really exciting. But you know, I’ll also add, we acquired a phenomenal team. You know, There was four lead partners, everyone's excited. They're wire, they're not tired. And we had all 80 employees together about a week ago. And there's a lot of integration between the companies and moving leaders to and from. So we're already comfortably working closely together, and we're going to be very efficient.
Gerry Sweeney: Got it. And a follow up to that. Obviously, you talked about turnkey projects. And then in your script, you also talked about permanent ready back  Have you ever done any review? Maybe how much time or how much money using permit ready  design documents may save customers? And obviously, it could be a pretty big differentiated advantage against some competitors? And how do I look at that?
Bradley Nattrass: Yeah, it's a great question. And Sam Andras, our EVP of Professional Services, he's was one - he was the lead managing partner for to 2WR, MJ12. And also has a great relationship in the industry - reputation, sorry, and a lot of relationships in the industry. But he believes that it's at least three months, you know, we can save at least three months by having those permit ready docks. And Gerry when you're - when there's a new state open…
Gerry Sweeney: That’s right…
Bradley Nattrass: Yeah, and they're all handing out so many licenses for cultivation that could be - can provide a phenomenal advantage.
Gerry Sweeney: Great. That's it for me. I really appreciate you guys taking my call. And congratulations on a great quarter.
Bradley Nattrass: Great. Thanks, Gerry. Appreciate you taking the time. Thank you.
Operator: Our next question is from Eric Des Lauriers of Craig-Hallum. Please state your question.
Eric Des Lauriers: All right, great. Thanks for taking my questions, guys. And congrats on the profitability this quarter.
Bradley Nattrass: Thank you. Appreciate it.
Eric Des Lauriers: I'd like to kind of focus in on the on the backlog or, you know, maybe even beyond, you know, it sounds like the backlog is basically six months out, roughly speaking. So, you know, not necessarily limiting to that, but just as we kind of look forward, can you help us understand how your - you know, pipeline backlog, whatever is split between cannabis food, and then I guess, over Europe  and I guess maybe as a place to start, is that sort of the right three verticals to be thinking about here?
Bradley Nattrass: Yeah, yes, it is. And the pipeline is increasingly having being affected by the food focused - by the food focused sales team that we have. We actually just created a standalone EMEA region sales team hired by Vice President over in - in the Netherlands. And that was because we see a tremendous amount of demand. We're working on a lot of early stage projects that we haven't announced yet. And as you move closer to the Middle East, predominantly food focus, vertical farms are the focus. I’ll add cannabis in Europe. You know, Eric, I look at that market, sort of similar to where the US was five years ago with cannabis. Its $250 million market reported to exceed $3 billion in the next decade. So what we're finding is, its just a tremendous demand for our services. And when we approached  it, and had our roadshow, we talked a lot about how turnkey was very key in Europe, as well, because they would like the design services to include all of the above all of the services we have now. They want the on site project management, and they want somebody there to help guide and hold their hand as they start up the facility and train their teams. So they - this acquisition really was fueled by the demand that we saw over in Europe. Now in the US market, we continue to have tremendous momentum on the cannabis side. On the vertical farming side, there's a lot of large players that are raising substantial amounts of money. And one of the issues that has hurt the vertical farming industry over the last five years is controlling the environment and underspecified mechanical systems. So you know, we have engaged on projects to help peer reviews, what we call them help, help rectify some of those situations, utilizing our 450 facilities have experience and our mechanical engineering team that has been in the middle of hundreds of those that will be able - we're able to provide solutions. So I look at it is we, we earn the trust, the confidence, the respect of that client early, and then as they expand, we're brought in to expand with them. So we're absolutely - it's progressing. The food focus, vertical farming side is progressing faster than we had anticipated. And, you know, we haven't made any significant announcements on that side yet, but we will when we close the deals.
Eric Des Lauriers: Okay, great. That's helpful. And I guess, could you help us understand how your service level or offerings might differ between those three verticals? Should we think of these as basically, you know, similar offerings for each of these verticals, is there anything unique about food versus cannabis or about, you know, Europe versus North America that might lend itself to a different level of services or offerings that you guys provide?
Bradley Nattrass: Sure. You know, from our perspective, I think we really look at those as being very similar from the standpoint of the services we're providing from the standpoint of, you know, architecture, or design or, you know, the equipment systems being sold into them. So, I wouldn't use the word just totally agnostic. But there's just so many similarities between all of those, that what we've learned and kind of grown up on with regard to the cannabis industry is just playing very well into the food and then over into the European markets. So it's just - we're just benefiting a lot from that experience that we have, so.
Dick Akright: And I’ll all add to that, Eric, you know, in 2020, we completed a six month study, when we started to look at moving in that direction, as well. And what we learned is, it's the regardless of the crop, it's the same architecture, the same engineering, it's the same cultivation design teams required for both. It's the same complex environmental equipment systems and regular equipment systems that are using both, you know, most of those systems were born in the global horticultural space, and we've brought them over into the cannabis space. So, you know, overall, I'd say, the expertise that we have on staff, those plant scientists, the horticulturist, when I mentioned at the start that they have experience with multiple crop types, they were all born as well in field farming or greenhouse growing, so they have that background. But we've also brought on some other PhD consultants as well, to ensure that we are nailing the nutrient programs for the leafy greens, to the current day specifications, so we make sure - we're right on and write accurate and very accurate. And one more thing to add there, local regulations change, not only by city or county or state and also country. And we have a partner that we - that reviews our documents in other countries, just to make sure we're designing for those local regulations. In the US one example would just be wastewater treatment changes by state by county as well. So that that service that we have is applicable across the board or that set of services.
Eric Des Lauriers: Okay, great. And then I guess just last one for me here. You mentioned you still active on M&A. Could you maybe provide some color there? I mean, it seems like you guys are already able to service, you know, sort of fully the design through commission phase. So could you just help me understand, maybe what you guys are looking at in your M&A pipeline. And, you know, if it's new services, new geographies, just any color on the M&A pipeline would be great? Thanks.
Bradley Nattrass: Sure. In the US, we are adding rapidly to our team of engineers and architects to support the demand. That could be individuals, it could be smaller companies as well. As we look overseas into new markets, we'll enter that market into what's the best path to grow our business the quickest. Is it through building and organically our own, you know, or is it through an acquisition? Is it looking at an engineering architect firms in other parts of the world, so we're taking under consideration. But we're really focused on being great in the service area. We don't - we do not have the intention to be a manufacturer. We want to be the best on the service side. So we'll continue to go down that path. And it's most definitely working. You know, I also look at acquisitions and investments as a lead generation tool. So if we're making that acquisition, we get to access their current clients, they did someone that we're not working with here in the North American market over in the European market as well. Also a chance to access their vendors, potential vendors that we're not working with today. So all of those are taken into consideration. Dick, will you add to that at - all from a financial standpoint?
Dick Akright: No, right. I mean, right on with regard to all that, you know, both with what we're looking at here, and then the opportunities that there are in Europe, as Brad said, you know, with where our balance sheet is, and the opportunities that we have, if it makes sense to take a look at, you know, whether it's architecture or engineering firms may be operating in Europe that would make sense to be added in that, that could be a nice acquisition for us. But, you know, we kind of go through a process relative to do we grow it or do we buy it type thing as any company would. But those are kind of the areas that we're highly focused on right now is from those services standpoint.
Bradley Nattrass: And also profitable, we worked very hard to get to this point, it's always hard. How can I go back?
Operator: Our next question is from Ashok Kumar  of ThinkEquity. Please state your question.
Unidentified Analyst: Good afternoon. Thank you very much. Could you provide some color on your margins relative to the historical target level? So specifically, I think, on the growth area, your target level is 30% to 60%. And more recently coming in the upper piece of that range, and then the recurring revenue component, and then the equipment mid teens to low 30s, and then the consumables in the low to mid 20s. So where you performing relative to your target levels, and the outlook for '21 as well please? Thank you.
Bradley Nattrass: Dick, will you take that to start, please.
Dick Akright: Yeah, sure. Thanks for the question. We're highly focused on increasing our margins, from the standpoint of the equipment systems side of things, because of the scale we're now getting. We have the ability through purchasing power to kind of improve upon those margins. To really kind of beef those up, our services revenues are still kind of in the 40% to 50% range. And you'll see from the financials that were disclosed as part of closing the MJ12 acquisition. They're very nice gross profit margins, they are in the low 40%. So exactly what we were looking for, from the standpoint of an acquisition. The way things are from the standpoint of the equipment side, it does go from kind of mid team percentage to mid 20, even high 20% gross profit margin depend upon the system. So the margins that we see in any given quarter become a little bit dependent on well, what customers bought what products from us during that, or what systems from us during that quarter. But we're keenly focused on looking to try to improve all of our margins to the extent that we can and taking advantage of opportunities that are out there to us.
Bradley Nattrass: Yeah, I'll add to that as well. Ashok the rapid pace that we're growing here in the North American market, and then the expansion to Europe as well, those first touch points are service contracts. And with the acquisition of the Architect Firm  not only do we have those 70 projects that we're working on, but we're now touching our clients three months earlier, than we have in the past. And so it's a much shorter timeline as we enter new markets around the world from introduction to close the first service contract.
Unidentified Analyst: I think in terms of rank ordering, your three growth initiatives, you know, one being expanding your service offerings, both prior to visibility build out then after the facilities operational to  global reach in as a first among equals, from a near term perspective and then in just in terms of progress guiding Europe I think, you know, that's a key growth initiative you indicated, signed to commercial agent representation agreements. And you're working on multiple opportunities as a result of those agreements, so where those stand? Thank you.
Bradley Nattrass: You bet. So the easy answer would be they're all important. However, the first are working on the increasing the high margin services. And then the third expansion, Europe, it all plays in to the challenge or the goal for our organization, is to be the leading provider of turnkey indoor high performance cultivation facilities in the global controlled environment ag market, so it all plays into that. And, you know, from an acquisition point, we probably are just one more away from being able to manage the entire process, from start all the way through to delivering an operational decision facility. In Europe, Ashok it was it was tough, the commercial agents really helped the market in the cannabis market in Europe, it didn't really have the momentum that we did in the US, as the pandemic started, until the industry really paused over there, so we didn't lose a lot of momentum. But with the commercial agents, we were able to get going a lot quicker. We've already spent a lot of time in Europe in the last six weeks, and we have another team going over in the next two. So I don't want to call it a race, but with the opening of our entity in a couple of weeks, and then a full trade show presence in Berlin. Shortly thereafter, the end of the month, we're building our team, we're setting up our infrastructure to successfully grow equally as fast in Europe. But we definitely are wanting to move as fast as we can, but ensure that we're delivering the same high quality service levels, and intimate customer experiences that we do here in the US.
Unidentified Analyst: All right…
Bradley Nattrass: Go ahead, Ashok. 
Unidentified Analyst: Finish your thought please.
Dick Akright: I would just say as Brad indicated, I mean, just as we look at our future business, all of those are just really important to us from the standpoint of delivering on our future results. So Brad kind of joked about a little bit, but it's like the easy answer is they're all important. But the fact is they are they are all important. And we have to stay highly focused on all of them kind of at the same time. Nice for us as they all fit nicely into everything we've been doing. Europe is a logical expansion for us. And then kind of continuing with focus on our high margin service offerings. Just we've - we are highly focused on it, the acquisition place and directly to that. So anyway, nothing outside our bailiwick here, that's for sure.
Operator:  Our next question is from Alan Brochstein of ICB Media  Please state your question.
Unidentified Analyst: Hey, Brad, congratulations on the strong quarter and having the confidence to provide guidance.
Bradley Nattrass: Thank you very much.
Unidentified Analyst: I just have one question, I’ll stick with it. The adjusted already, I apologize if I missed it. But what drove that monster growth in the backlog exactly?
Bradley Nattrass: Well, I'll start Dick, and then I'll move it over to you. You know, as we continue to deliver strong customer service levels, and our customers are expanding. We're expanding with them. So it's a combination of new business contracts that we're securing and followed by expanding with current clients as they expand across the country.
Unidentified Analyst: As a follow up, was this related to the acquisition, a little closed after the quarter a bit, I assume not…
Bradley Nattrass: No, not at all.
Dick Akright: Yeah, nothing from the acquisition on our backlog and all just everything that historically we've done from the standpoint of urban-gro is all that's in the backlog.
Bradley Nattrass: And on that note, not nothing in our financials, of course, Alan, and the Q2 financials are tied to the acquisition either.
Dick Akright: Right, of course.
Unidentified Analyst: Okay, well, that sounds great. Thank you so much.
Bradley Nattrass: Thank you, Alan.
Dick Akright: Thank you, Alan.
Operator: Our final question is from Scott Weiss of Cemco Capital  Please state your question.
Unidentified Analyst: Hi, guys, congratulations on the fantastic quarter.
Bradley Nattrass: Thank you, Scott. Greatly appreciate it.
Unidentified Analyst: I have two quick things with regard to the backlog, one last question on that. Was there any benefit, in your opinion from the reopening of the economy?
Bradley Nattrass: Not in our backlog, no, I would say that effect maybe had a little bit on the Q1 backlog. But this is purely tied to rapid expansion, good demand for our solutions.
Unidentified Analyst: Okay. And then second question, with regard to the grow care business? Can you update us on how many customers that you now have taking grow care? And how big do you think this business can be by the end of this year, and by say, the end of '22?
Bradley Nattrass: So Scott, we're not going to release the number of customers or today the revenues and margins from that unit. But rest assure that, that recurring revenue managed service initiative is key. You know, for the future of urban-gro, we're engaging, we're holding our clients and throughout the whole process, until they turn the - until the green button is pushed to turn the operation on, we want to be there for the life of that facility. We will have built an intimate relationship with the client. And we want to utilize that same experts to work closely going forward. That being said, to do it, right, we have to make sure that we have the right infrastructure in place, the right software solutions in the form of a portal that we're in the process of building with software engineers, started implementing it already, and make sure we have very strong ag tech solutions that our clients can utilize day to day. It all starts though with where we are today. Maintenance support, support from ongoing consulting arrangement. So we're there to answer the phone, and then training of their staff, and just being there in case they have any issues to fight through. But it's a key focus of the company. And we are absolutely investing in growing it. And I do look forward to in the future release releasing more significant information details, like you're asking for, because you're not the only one. And we just want to make sure we do it right before we announce it.
Unidentified Analyst: So with the acquisition now complete of MJ, you're offering a complete soup to nuts from the very beginning of the project, and with grow care to the very end of the project and can carry it through? Who else can do can offer the services, the turnkey solution that you guys can offer.
Bradley Nattrass: Today, nobody, you know, fully focused on the horticulture space. There are architect firms or engineering firms that just focused on their piece there. There are some consortium's where it's really a strategic alliance, but it's still you know, pieced out as not being designed holistically, like we do. And then that knowledge base with our plant sciences and horticulturist being there every step to make sure that we're doing a great job, it doesn't exist. The only piece, Scott that we do not owe is the general contracting piece. So that piece, we're building strong relationships in different regions. So we could sub out that piece and manage those contractors with our construction management initiative that has been bolstered by the acquisition because they have on site project management expertise and do that on many projects themselves.
Operator: That is all the questions we have for today. Please reach out to investors at urban-gro.com with any additional questions. I will now turn the call back over to Bradley for closing comments.
Bradley Nattrass: Thank you, Hilary. And thank you, everybody for those great questions. We really appreciate you taking the time to hear more great, great turnout. We continue to have record quarters with revenues adjusted EBITDA, backlog and now profits and I'm confident that the initiatives discussed today are absolutely going to continue and drive future momentum. The controlled environment ag opportunity is strengthening for both cannabis and food both very strong sectors. And RIP the experts in our acquired expertise. It's positioned us to take advantage and capitalize on these global market opportunities. We're continuing to add members to our teams to support our increasing demand. And as Dick alluded to our leadership team, we're driving future growth by continuing potential accretive acquisitions and also investments in other companies both inside and outside of the cannabis and horticulture spaces. But most importantly, it's our dedication to work side by side with our clients. And that is what is allowing us to organically expand with them as they expand. And it also attracts new clients to urban-gro. And that's combined, what's driving continued revenue and market share growth. So we are and fully expect to continue to delivering sustainable value to our clients and our shareholders. And thank you again for your interest. We look forward to another great call in a quarter and have a wonderful evening. Thank you.
Operator: This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.